Operator: Good day, and welcome to TransUnion's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would like now to turn the conference over to Mr. Greg Bardi, Vice President of Investor Relations. Please go ahead.
Gregory R. Bardi: Good morning, and thank you for attending today. Joining me on the call are Chris Cartwright, President and Chief Executive Officer; and Todd Cello, Executive Vice President and Chief Financial Officer. We posted our earnings release and slides to accompany this call on the TransUnion Investor Relations website this morning, and they can also be found in the current report on Form 8-K that we filed this morning. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses and other items, as well as certain non-GAAP disclosures and financial measures along with their corresponding reconciliations of these non-GAAP financial measures to their most directly comparable GAAP measures. Today's call will be recorded and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release, in the comments made during this conference call and in our most recent Form 10-K, Forms 10-Q and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. With that, let me turn it over to Chris.
Christopher A. Cartwright: Thanks, Greg. Let me add my welcome and share our agenda for the call this morning. First, I'll provide the highlights of our second quarter 2025 results and an overview of market conditions. Second, I'll discuss progress toward our 2025 strategic priorities, including a spotlight on our fast-growing Trusted Call Solutions business. Finally, Todd will detail our second quarter results and updated 2025 guidance. In the second quarter, TransUnion exceeded all key financial guidance metrics. For a sixth straight quarter, we delivered high single- digit organic revenue growth, highlighting our strong execution in a stable but still subdued market and the benefits of our accelerating pace of innovation. Revenue grew 9% on an organic constant currency basis, well above our 3% to 5% guidance. Excluding mortgage, our growth of 6.5% also exceeded expectations. U.S. Markets segment delivered 10% growth in the quarter. Financial Services grew 17% and growth excluding mortgage accelerated to 11%. Across all lending types, we continue to outperform overall market growth by driving new business wins across our solutions suite. Consumer Lending and Auto grew double digits and Card & Banking grew mid-single digits. We experienced robust activity from fintech lenders, supported by healthy funding and heightened consumer demand for debt consolidation products. Mortgage was up 29% compared to flat inquiries, both modestly above expectations. Earlier this month, the FHFA announced it will allow lenders to use VantageScore 4.0 for conforming mortgages and that the tri-merge credit report requirement will remain in effect. We believe these policies will provide choice for lenders and enhance safety and certainty within mortgage markets, benefiting homebuyers, lenders and taxpayers over the long term. Emerging Verticals grew 5%. Insurance grew double digits, driven by a gradual recovery in marketing and healthy consumer shopping activity in addition to new wins across our solutions. We also grew across our diversified verticals led by communications and tech, retail and e-commerce. Consumer Interactive grew 2% organically, driven by the successful launch of our freemium solution marking a key step in our turnaround strategy. International grew 6% on an organic constant currency basis. India's growth accelerated to 8% as anticipated. We experienced a modest pickup in consumer lending and delivered strong growth in our nonconsumer businesses. Within the remainder of the international portfolio, Canada and Africa were standouts, each growing double digits. Supported by our strong financial results, our leverage ratio declined to 2.8x. We believe we're positioned to delever to 2.5x before funding our planned Mexico acquisition, which we expect to close by the end of this year. We also opportunistically accelerated our share repurchases in the quarter. Through mid-July, we have repurchased $47 million in shares. We expect that our financial results will further support disciplined capital deployment throughout the year. Now our second quarter results reflect a strong performance in stable but still muted market conditions. U.S. credit volumes in the second quarter were slightly above expectations, particularly in consumer lending. Activity in cards remained steady, while auto and mortgage activity is below historical trends. Based on our overperformance in the first half of the year, we're increasing our 2025 full year revenue and adjusted diluted earnings per share guidance. Even with this increase, we believe our updated guidance remains prudently conservative to accommodate ongoing macro uncertainties as we will detail later in the call. In the U.S., consumers and lenders remain sound and resilient, supporting stable lending activity. Consumers are benefiting from low unemployment, modest to positive real wage growth and manageable inflation. Consumer sentiment in June improved from low levels earlier in the year, reflecting a better outlook for the economy, inflation and personal finances. Major lenders reported solid second quarter earnings with strong profitability, adequate capital and good credit performance. Now in April, we noted that traded fiscal policy proposals added uncertainty to employment levels, inflation, interest rates and economic growth. The U.S. has reached trade agreements with several countries since then and more are expected soon. However, the recently passed U.S. fiscal package extends the 2017 rate cuts, increases the deficit and raises the debt limit. This has raised concerns about higher inflation and interest rates, which could negatively impact economic and lending conditions. The 10-year U.S. treasury rate remains elevated, although below its mid-January peak and we will continue to monitor the impact of these policy changes on rates, consumers and our customers. In July, I attended the TransUnion CIBIL Annual Credit Conference in India, celebrating CIBIL's 25th anniversary. The event drew over 2,500 clients, including more than 100 CEOs from major Indian lenders and key Reserve Bank of India regulators. We discussed future innovations to increase financial inclusion and introduce new solutions and market insights. This event reinforced CIBIL's strong reputation and the positive impact it has on the Indian economy. Our India strategy reflects our vision to foster trust in global commerce between consumers and businesses. We recognize significant opportunities in India supported by our scale, well-known brand, high-quality data, innovative products and strong relationships with bankers and regulators alike. Our future innovation aims to expand credit access for underserved markets such as small- and medium-sized businesses, new to credit consumers and microfinance, all identified by India's government as vital economic drivers. After the event, I'm even more confident that India represents an enormous long-term growth opportunity for TransUnion, with the potential to grow over 20% annually over the medium term. In the near term, consumer lending in India is experiencing a gradual volume recovery due to manageable delinquency levels, lower interest rates and the return to market of nonbank lenders who were sidelined by the Reserve Bank last year. The RBI has reduced interest rates by 100 basis points thus far in 2025 and is balancing lending safety with economic growth. We anticipate our growth in India will accelerate later this year as lending volumes continue to recover resulting in nearly 10% organic constant currency revenue growth for the full year and with fourth quarter growth in the high teens. We also continue to transform the company by modernizing our technology, enhancing our global operating model and accelerating innovation across our product suites. I'll detail our recent progress. In the quarter, we accelerated U.S. credit customer migrations and further enhanced the core capabilities of OneTru, our global configurable cloud-native platform. Our customer migrations are focused on minimizing conversion disruptions while delivering our targeted savings within the committed investment levels. To achieve this, we strengthened OneTru's functionality to manage our most complex and customized batch and online workloads. We're achieving notable performance and innovation improvements on the new platform, including over 50% faster processing, robust cybersecurity and compliance controls and rapid development of new scores, attributes and models. We also migrated several key consumer indirect customers to our new global consumer technology platform. This scalable platform enables faster product releases, seamless multi-region deployment and reduced operational complexity. To further enhance OneTru's capabilities, we have augmented its underlying identity graph with our comprehensive public records database. This integration enhances data fidelity and introduces more robust attributes related to addresses, phone numbers and e-mails. Our identity graph now encompasses a wide of TU's proprietary data assets including traditional credit header information, public records, communication and device identifiers, streaming data and other unique data sources. Together, these elements enable industry-leading consumer identity resolution, improved data onboarding, more targeted marketing and optimized fraud prevention and risk management. During the quarter, we successfully transitioned over 20,000 specialized risk clients to the enhanced OneTru Identity Graph, resulting in significant performance gains for these customers. We also expanded adoption of our AI-driven developer tool, OneTru Assist, which employs advanced language models to automate repetitive coding tasks, facilitate code translations and detect and address security vulnerabilities. OneTru Assist supports the entire OneTru software development life cycle and has contributed to 20% to 50% productivity increases for developers. Additionally, we recently launched OneTru AI Studio, which provides low-code and no-code AI workflow solutions for broader nonengineering use cases. We're improving our global operating model as well by strengthening product development practices and our leadership. In Q2, Brian Silver joined us as Head of Marketing Solutions, under Mohamed Abdelsadek, bringing significant digital marketing experience. We continue to refine our approach to product management to better align resources, streamline decision-making and accelerate new product iterations. These changes will improve commercial outcomes by integrating our geographic and vertical led go-to-market strength with enhanced product development expertise. Our technology stack and operating model are contributing to faster innovation and growth across our 6 global solutions families. We've increased the pace of new product introductions while also completing foundational technology modernization. FactorTrust customers can now use OneTru with its improved processing times, expanded scores and attributes in more rapid model development. FactorTrust's growth rates have reached double digits due to competitive wins and with a strong pipeline of new opportunities. In fraud, we launched new models using our materially enriched identity graph and our analytics and machine learning capabilities. Additionally, we developed a solution to identify consumers who dispute credit trade lines by falsely claiming to be fraud victims. Early demand for this solution is strong, representing a cross-sell opportunity into credit customers. Marketing Solutions reported stronger retention and increasing sales momentum, particularly within audience and identity products. Within U.S. Consumer Solutions, we rolled out a new freemium offering with updated web and app experiences, resulting in strong growth in the number of new free users. We plan to further expand these capabilities and offer -- and our offer inventory. And with Monevo, we integrated lenders' underwriting criteria to personalize prequalified offers through online publishers and improve consumer experience and add conversion. We will continue to build this marketplace by adding new publishers and top-tier lenders to the platform. Now I'll conclude my remarks with a deeper dive into the innovation and growth of our Communication Solutions, particularly Trusted Call Solutions or TCS. We entered the communication solutions market through our Neustar acquisition, which leveraged its relationships with telco companies to build a suite of data-driven authentication solutions. Our Communications Solutions help make trust possible in the phone experience by authenticating and clarifying the purpose of phone calls. Our customers report better answer rates and higher consumer satisfaction when using the service. The use cases typically combine fraud mitigation and brand identification to improve consumer engagement. Now Communications Solutions overall has grown 10% plus per annum since 2022 and should achieve $320 million in revenue in 2025. Trusted Call Solutions has grown from $50 million in revenue in '22 to an expected $150 million this year. Financial Services accounts for almost 30% of TCS revenues with the remaining 70% spread across our emerging verticals. The remainder of Communications Solutions includes legacy products, such as landline caller ID and listings management. These products embed us with telco companies and provide the data necessary for new products such as TCS and are very profitable, although the revenue growth is flat to declining slightly. In sum, we believe Communications Solutions can deliver at least high single-digit growth driven by the sizable market for Trusted Calls. Now I'll detail how TCS works, why we're the market leader and how we will build on our momentum. Trusted Call Solutions enhances the phone channel, closing the user experience gap of digital channels. As most businesses rely on phone calls for important communications and consumers prefer them for urgent matters, unanswered calls and robo calls remain major issues. Over 80% of outbound calls go unanswered and consumers receive 55 billion robo calls annually, leading to $12 billion in fraud. Our solutions adds color name, logo and call context to outbound calls. It authenticates inbound calls to block fraudsters and leads to better engagement, brand protection and financial results. Customers across industries report improved contact and conversion rates. Now TCS integrates TransUnion into the mobile call ecosystem, establishing an essential framework that benefits telecommunications carriers, enterprises and end users. Enterprises serve as our primary clients. We authenticate and onboard their phone numbers and enriched call data into our comprehensive data management platform. Telecommunications carriers are our strategic partners. When a call is initiated via a mobile network, the carriers access verified rich call data such name, logo and contextual information from TransUnion to present on the recipients device. Enterprises compensate TransUnion for displaying authenticated information and we, in turn, provide royalties to the carriers. Consumers benefit from an enhanced and trustworthy calling experience, enabling them to make informed decisions when responding to calls. Now TCS is positioned at the forefront of the industry, addressing an estimated opportunity exceeding $1 billion in the U.S. alone. We've identified several sustainable competitive advantages that underpin our success in this market. First, TCS covers 94% of U.S. wireless consumers through our exclusive relationship with AT&T and strategic partnerships with First Orion and TNS. This collaboration enabled the delivery of 5 billion authenticated branded calls across the top 3 carriers in 2024. Leveraging our broad on coverage and scale, we partnered with AT&T this year to introduce branded call displays featuring call reasons and providing context to phone calls and improving consumer engagement. Our innovation road map includes upcoming releases such as omnichannel capabilities and advanced fraud detection signals. Second, we steward expansive and authoritative data sets to rigorously verify enterprises and telephone details, which enable us to authenticate and enrich calls. Our robust industry relationships and integration with over 800 carriers enabled us to develop TCS. Third, we possessed extensive distribution channels through TransUnion that allow us to deploy TCS in numerous vertical markets. We see significant interest and strong sales across all sectors we cover, including financial services, insurance, health care and the public sector. And finally, TCS integrates seamlessly with our market-leading fraud solutions to safeguard against data breaches, account takeover attempts, phishing and other impersonation-related threats. Collectively, TCS enhances TU's long-term growth prospects, providing a pathway toward near $250 million in revenue by 2028. As the market leader, we maintain robust integration with telecom companies and businesses, positioning us to capitalize on a large market opportunity in the U.S. Our strategy includes deeper penetration of our core verticals, scaling the existing solutions and broadening the product portfolio. Furthermore, we believe that we can take this solution to many of our markets globally in the coming years. Recently, we launched a branded call display in Canada, developed in collaboration with TELUS, a leading Canadian telecommunications provider. And we have introduced initial solutions in Brazil and France and are evaluating additional opportunities in markets such as India. We will continue to provide updates on our progress as we scale TCS in the coming quarters. And with that, I'll hand it over to Todd.
Todd M. Cello: Thanks, Chris, and let me add my welcome to everyone. As Chris mentioned, in the second quarter, we exceeded our guidance across all key financial metrics, driven by broad-based outperformance in our U.S. market segment led by Financial Services. Second quarter consolidated revenue increased 10% on a reported and 9% on an organic constant currency basis. The Monevo acquisition contributed 0.5% to growth. Most of Monevo's revenue is recognized in the U.K. with the remaining U.S. revenue recognized in Consumer Interactive. The impact from foreign currency was immaterial. Our business grew 6.5% on an organic constant currency basis, excluding mortgage from both the second quarter of 2024 and 2025. Adjusted EBITDA increased 8%. Our adjusted EBITDA margin was 35.7%, ahead of our 34.8% to 35.3% guidance due to flow- through on a stronger revenue growth. Adjusted diluted earnings per share was $1.08, $0.09 ahead of the high end of our guidance and an increase of 9%. Finally, in the second quarter, we took $29 million of onetime charges related to our transformation program, $5 million for operating model optimization and $23 million for technology transformation. To date, we have incurred $315 million of planned onetime transformation expenses over the course of the program and remain on track for $355 million to $375 million in one-time expenses by the end of 2025. Looking at segment financial performance for the second quarter. U.S. Markets revenue was up 10% compared to the year ago quarter. Adjusted EBITDA margin was 37.9%, down 110 basis points due to the timing shift of investments from the first quarter to the second quarter as we discussed in April. Financial Services revenue grew 17% or 11% excluding mortgage. Credit Card & banking was up 5% against flattish online volumes. We saw good growth from alternative data sales and trusted call solutions as well as healthy batch activity. Consumer lending growth accelerated to 18%. The we experienced further strengthening in marketing and online volumes from fintech and point-of-sale lenders. We also delivered strong factor trust growth. Auto grew 19%, driven by pricing of our data and third-party scores as well as good growth in our Communications and Marketing Solutions. Volumes remained elevated in April, likely due to a pull forward of demand ahead of tariffs, but normalized in May and June towards levels seen early in the year. For Mortgage, revenue grew 29% despite flat inquiry volumes, benefiting from third-party score pricing and [ non-tribureau ] revenue. Mortgage accounts for about 12% of TransUnion's trailing 12-month revenue. Emerging Verticals grew 5%, led again by double-digit growth in insurance. Tech, Retail and & E-commerce, Telco and Tenant & Employment all grew mid-single digits. Media was flat and Public Sector and Services declined. We expect Media growth to improve in the second half as marketing wins convert to revenue and Public Sector to return to growth later in the year. In Insurance, we delivered another strong quarter, supported by stable market conditions. Marketing activity continues to recover as insurers benefit from improved rate adequacy, especially in Personal Lines auto. Consumer shopping also remained active. We delivered broad-based new business wins, including in core credit and driving history as well as Trusted Call Solutions and our modern marketing products. Turning to Consumer Interactive. Revenue grew 2% on an organic constant currency basis. Both our direct and indirect channels grew in the quarter. Excluding the impact from lapping a large breach remediation win in the third quarter of 2024, we expect growth in the direct and indirect channels in the second half of the year. For my comments about International, all revenue growth comparisons will be in organic constant currency terms. For the total segment, revenue grew 6%. Adjusted EBITDA margin was 42.7%. Looking at the specifics for each region. India growth accelerated to 8% as anticipated and up from the 1% growth in the first quarter. Commercial credit, direct-to-consumer and new products like our API marketplace drove growth, offsetting still muted consumer credit volumes. Our U.K. business grew 5%, batch and online activity remain healthy for our largest banking customers, and we continue to ramp new business wins across our verticals. In Canada, we grew 10% in a muted market. We drove growth through sales of our innovative fraud, identity and consumer indirect solutions. Share gains across Financial Services, Auto and Insurance and increased portfolio review batch activity. We also benefited from some one-time revenues in the quarter. In Latin America, revenue grew 4% with modest growth in Colombia and Brazil and high single- digit growth in our other Latin American countries. In Asia Pacific, we declined 8% as we lapped one-time consulting revenue in the prior year. Philippines growth remains strong, while Hong Kong faces a softer economic backdrop. We expect Asia Pacific to return to growth in the second half of the year. Finally, Africa increased 14% with broad-based growth across Financial Services, Retail and Insurance. Turning to the balance sheet. We ended the quarter with $5.1 billion of debt and $688 million of cash. Our leverage ratio at quarter end was 2.8x. We have repurchased $47 million in shares year-to-date through mid-July in line with our balanced approach to capital deployment. We remain focused on delevering to under 2.5x leverage ratio. Throughout the remainder of the year, we plan to balance debt prepayment and share repurchases based on market conditions. We also plan to preserve capital ahead of our TransUnion de Mexico acquisition, which we expect will close by year-end. Turning to guidance. As Chris mentioned, we are raising our guidance for the full year primarily to account for strong first half results as well as continued business momentum. Even with the guidance raised, we maintained a prudently conservative posture for the remainder of the year to account for ongoing market uncertainty. We believe we can manage some level of U.S. lending activity softening within our guidance range. Should current conditions persist, we would expect to deliver results at or above the high end of our guidance range. That brings us to our outlook for the third quarter. We expect FX to be less than 0.5% headwind to revenue and adjusted EBITDA. We expect Monevo acquisition to add 1% to revenue. We expect revenue to be between $1.115 billion and $1.135 billion or up 2% to 4% on an organic constant currency basis. These growth rates include a 4% headwind from lapping the large breach remediation win in last year's third quarter. Excluding the breach comparison, our organic constant currency growth guidance would be 6% to 8%. Our revenue guidance includes approximately 2 points of tailwind from mortgage. In the third quarter, we expect mortgage inquiries to decline modestly. We expect adjusted EBITDA to be between $397 million and $411 million, up 1% to 4%. We expect adjusted EBITDA margin of 35.6% to 36.2%, down 10 to 70 basis points. Our margin expectation for the third quarter is consistent with our results in the first half of the year as well as our expectations for the full year. We expect our adjusted diluted earnings per share to be between $0.99 and $1.04, down 5% to flat. Turning to the full year. We anticipate FX to be less than 0.5% headwind to revenue and adjusted EBITDA, and the Monevo acquisition to contribute 0.5% to revenue. We expect revenue of between $4.432 billion and $4.472 billion. We expect organic constant currency revenue growth of 6% to 7%, an increase from our prior guidance of 4.5% to 6%. Excluding mortgage, we expect organic constant currency growth of 4% to 5%. These growth rates include a 1% headwind from lapping the large breach win from last year's third quarter. Specific to our segment organic constant currency assumptions, we expect U.S. Markets to grow mid-single digit, both including and excluding mortgage. We anticipate Financial Services to be up low double digits or high single digit, excluding mortgage. We expect Mortgage revenue to increase by over 20% against modest declines in mortgage inquiries. We expect Emerging Verticals to be up mid-single digits. We anticipate Consumer Interactive decreasing low single-digit, but increasing low single digit when excluding the impact of last year's large breach win. We anticipate International growing high single digit. Turning back to the total company outlook. We expect adjusted EBITDA to be between $1.58 billion and $1.61 billion, up 5% to 7%, an increase from our prior guidance of 3% to 6%. That would result in an adjusted EBITDA margin of 35.7% to 36.0%, down 30 basis points to flat. We anticipate adjusted diluted earnings per share to be $4.03 to $4.14 up 3% to 6%, also an increase from prior guidance of flat to 4% growth. Our expected adjusted diluted earnings per share growth reflects strong underlying performance and is inclusive of a 400 basis point headwind from foreign exchange and a higher tax rate in 2025. We expect depreciation and amortization to be approximately $570 million. We expect the portion, excluding step-up amortization from our 2012 change in control and subsequent acquisitions to be about $285 million as technology modernization initiatives go into production and start to depreciate. We now anticipate net interest expense will be about $200 million for the full year. We expect our adjusted tax rate to be approximately 26.5%. Capital expenditures are expected to be about 8% of revenue. We continue to expect to incur $100 million to $120 million in one- time charges in 2025 related to the last year of our transformation program. Given those investments, we expect our free cash flow conversion as a percentage of adjusted net income to be 70% in 2025 before improving to 90% plus in 2026. In closing, we delivered strong results and are quickly approaching a period in 2026 and beyond that we believe will see stronger free cash flow generation and the leverage ratio within our target range. This will enable disciplined and shareholder-friendly deployment of capital, similar to our approach throughout the first half of the year. I will now turn the call back to Chris for final comments.
Christopher A. Cartwright: Thanks, Todd. In summary, we delivered a robust second quarter, surpassing our guidance across all key financial metrics and marking our sixth consecutive quarter of high single-digit organic revenue growth. Based on our strong performance in the first half of the year and sustained business momentum, we're raising our 2025 guidance, now anticipating 6% to 7% organic constant currency revenue growth. And we continue to make substantial progress toward our strategic priorities. Following several years of investment, our current focus is on execution and value creation. Our growth playbook, which has historically emphasized differentiated vertical market engagement and geographic expansion, has driven our industry-leading growth over the past decade. As a result of our transformation, we are equipped with an expanded suite of solutions for our customers. Product innovation is an increasingly essential component of our growth playbook, complementing our established vertical and geographic strategies. We are confident that our strategic investments and our disciplined execution will further enhance our product offerings and customer experience, positioning us for another phase of industry-leading growth. And with that, let me turn over the time to Greg.
Gregory R. Bardi: That concludes our prepared remarks. For the Q&A, we ask that you each ask only one question so that we can include more participants. Operator, we can begin the Q&A.
Operator: [Operator Instructions] Our first question comes from Faiza Alwy from Deutsche Bank.
Faiza Alwy: Chris, you mentioned in your prepared remarks that across all lending types, you're outperforming the overall market driven by new business wins. And I'm curious sort of is this more customer mix? Or is it related to some of the new technology and product innovation or something else you're doing? Just would love a little bit more color there.
Christopher A. Cartwright: Yes. Sure, Faiza. Well, I would say it's a combination of some of those elements. On the customer mix side, consumer lenders have come back strong in recent quarters as we expected. The funding is flowing again to the space, and they're addressing an attractive market opportunity to consolidate revolving card balances at lower rates. It's what they're really good at. And as we know, consumer lending, fintech, in particular, was really bruised during the market slowdown in '22 and '23. But now they're back and they're back in force. And it's going to benefit us disproportionately because we have very large share there. We are comfortably above 2/3 of the market in terms of market share, and they had a standout quarter, and they've got good momentum. . I would say we're also selling into these financial services subcomponents, whether it's mortgage, consumer lending, card, auto, a broad array of products. Remember, these are market segments for us. They're not products. So yes, we're selling credit and credit analytics. But we're also selling Trusted Call Solutions. We're selling Marketing Solutions. In particular, in the Auto vertical, we posted really great growth in the second quarter. Less than half of that was the price benefit from the [ score ] price increases, and it was just a little bit from volume. The rest of it is coming from the performance of our product suite in the Auto segment. So I think it's an important thing to mention there. But look, we've got good momentum in Financial Services, as you can see from Q2 and the whole first half. And that's allowed us to raise the guide materially for the year, while still maintaining a very conservative posture.
Operator: The next question comes from Andrew Steinerman of JPMorgan.
Andrew Charles Steinerman: Just two quick questions. One, I definitely noted the momentum at FactorTrust and other kind of alternative bureaus in the marketplace. Could you just give us a comment of why there's good momentum right now to the alternative data bureaus? And is that tied to stronger P loan growth? And then let me just give you my second question. About the Mexico acquisition, how is that asset performing now? And just remind us why it takes kind of a longer period of time to close, meaning longer than a traditional U.S. acquisition?
Christopher A. Cartwright: Yes. For sure, Andrew. Okay. So regarding alternative credit data, of which FactorTrust is a market leader, for us, it's really a story of re-platforming in innovation and then relaunching FactorTrust. We acquired FactorTrust some years ago. It's a great data set with good coverage, but it was on an antiquated technology platform. And so we prioritize moving it to OneTru. In the process of re- platforming it on OneTru; one, of course, we did prove out that we could handle credit at volume with real-time reporting and the various complexities on the OneTru platform. But we also considerably innovated on the analytics side. We implemented a better identity spine underpinning the data. We added a lot of data attributes. We enabled our TruIQ analytics solution for more rapid modeling. And as a result, we're just winning more business with FactorTrust than we did previously. And we have a very robust pipeline. So I think the momentum in FactorTrust is going to continue. Perhaps we're getting some benefit selling it as an add-on into some of these other segments. Consumer lenders are -- the fintech guys do like this alternative data. Anybody with a subprime focus is also interested in the subprime data. And we posted some nice sales of FactorTrust in the Auto vertical as well. Now in terms of the time for Mexico, or just the performance, the asset continues to perform well. It's on plan. And we're still on plan in terms of clearing the government review and regulatory hurdles to closing the acquisition. We are targeting and hoping to close the deal before the end of the year. And look, some of this just takes a bit of time. But the fact that it takes time, shouldn't raise any concerns that's just the operating standard in Mexico, but we're getting a great asset at a really fair price, and we're going to bring a ton of innovation to the Mexican market that I think is going to sustain and increase the growth rate for many years to come.
Operator: Our next question comes from Jeff Meuler of Baird.
Jeffrey P. Meuler: So on the CI freemium and marketplace rollout, it sounds like it's a little bit staggered or there's kind of like a beta period. So what are the most important initial learnings? And then what's the time line to more fully integrated capabilities and build out marketplace? And then I guess, finally, are you willing to share anything on what you now expect intermediate term for growth out of the Consumer Interactive business?
Christopher A. Cartwright: Yes, yes, for sure. So look, it was a solid quarter for the consumer segment overall. The direct business and the indirect business both grew low single digits. As you know and everybody on the call knows, we've been investing heavily in this space for several years now to add the capabilities that you need to grow in this current environment. We've launched our new freemium solution. That means new user interface, integrating subscription offerings and integrating a full complement of loan -- of consumer loan offers as well as identity protection and breach remediation. We exited the beta period in the first quarter. In the second quarter, we've been converting our core customer base, and we're probably plus 75% at this point and we're converting over the offer inventory to the new platform, and that's probably at 75% or 80%, too. But right away, you can see that it's going to have a positive impact on the growth rates of the business, particularly on the direct side, where we've been working hard to mitigate the decline. I think we've got that behind us now. And our goal is to kind of stabilize this low single-digit growth in the coming quarters as we start to optimize these different elements that we've got now, offers, freemium, an integrated offering of subscription, freemium, breach, all of these things coming together, the interplay, we're going to be optimizing our marketing, optimizing our customer flows and conversion, if you will, the pricing, all of this stuff. And then, look, over time, we're going to bring more and more lenders and offer types onto the platform. It won't be so card-focused. There'll be a lot of different opportunities for consumers to engage with TransUnion in a freemium way and get the full range of consumer lending and insurance offers and other opportunities there. And in terms of the guide, look, right now, we're just executing on a whole bunch of goodness, bringing it together and returning this $600 million chunk of business to consistent growth. In the intermediate term, mid-single-digit growth. And I think once we're firing on all cylinders, we would expect to push even beyond mid-single digits. So hopefully, that clarifies.
Operator: The next question comes from Toni Kaplan of Morgan Stanley.
Toni Michele Kaplan: I was hoping you could talk about the consumer lending environment. I think late last year and early this year, you had talked about it being a stable but muted environment. Now it seems like you're seeing it's a little bit better than expected and better than that. And when I look at U.S. Financial Services, you grew double-digit ex mortgage. So just -- it sounds like you're still being a little bit cautious on how the environment plays out just with potential for deficits and inflation and that potentially impacting lending. But maybe just talk through where you -- like how much better is it now? Where do you think for the remainder of the year, we sort of are in terms of market strength and into next year? And just the puts and takes around all of that.
Christopher A. Cartwright: Yes. Well, we'll give you some flavor there around Financial Services. So yes, it's stable but muted. I think that's a fair assessment, although perhaps a little bit less so than it has been in recent quarters. I mean as you can see consumer lending is coming back, and I've already talked about that opportunity. Card is still a more tempered environment, kind of flattish online volumes. And we are selling in alternative data and trusted call solutions into cards. The big banks all reported over the past couple of weeks, and their commentary on card was a bit more optimistic, I think, than we've seen. And we're starting to see some nice positive batch activity in card, which means card lenders are moving more toward the front foot, if you will, which is good. But it's far short of saying, happy days are here again. . Auto, I talked about, the volumes are still net positive a bit. A lot of that is the pull forward because of tariff fears, but we're selling a lot of products into the Auto vertical, which is great in driving our revenue growth. And look, Mortgage is bouncing along what I think is a bottom. This is kind of like industry existential volume levels. The 10-year rates remain elevated, and there's still, I don't know, kind of neutral in terms of whether they're going to go up or they're going to go down. We're going to have to see how that plays out. And so I don't expect a big refinance boom to happen anytime soon. And asset affordability is still a challenge because of the supply side of the housing equation. But what it really shows is; one, as an industry, we're trading on rather tempered volume levels because of all of rate increases that happened in the '22, early '23 time period, as we've said. And so if you get just a little perk up in volume activity, you get nice growth rates. It also speaks to the portfolio diversification that we have achieved. Again, when we talk about consumer lending or card or auto, these are market segments. We're not just selling credit products. We're selling analytics. We're selling alternative data, marketing, fraud, phone solutions, et cetera, right? And the breadth of the offering is appealing, and we're putting good points on the board.
Operator: The next question comes from Manav Patnaik of Barclays.
Manav Shiv Patnaik: I was just hoping for maybe a quick update on your fintech exposure, how that's performing some of this positive business momentum you're talking about? How much of that is from that customer category?
Christopher A. Cartwright: Sure. So Manav, I've touched a couple of times on consumer lending. And while the category is broader than just fintech. Fintechs are an important part of that. And as you can see from the results of the larger players, they're doing much better. In fact, they've recovered. The stability that we see in the market environment, even at an elevated interest rate, allows funding to flow back into the market and that takes care of the supply side of things. The demand side is good because during the COVID era, when credit scores artificially were inflated, a lot of cards were issued to a lot of consumers that might not have qualified for them previously. And they took advantage of that and they levered up and they're revolving those balances, and that creates a great demand side opportunity for loan consolidation. So we're definitely seeing a pickup in fintech within consumer lending. But look, I just want to emphasize, it's more than just consumer lending. The growth is great. We expect it to continue, but we're really doing solid performance across all of the financial services subcategories.
Operator: Our next question comes from Ashish Sabadra of RBC Capital Markets. Apologies, Ashish. I seem to have lost your line. We will be going with the next question asker, Scott Wurtzel from Wolfe Research.
Scott Darren Wurtzel: I just wanted to touch on the mortgage side and specifically on the prequel environment. I'm just wondering if you could speak to what you're seeing in the market from general shopping activity to also the competitive dynamics in that space.
Todd M. Cello: Scott, thanks for the question. I'll jump in here with that. As far as mortgage is concerned, I think what -- we've been pleased with the performance that we've seen to date in general, through the first half inquiries have been in line. And as a reminder, when we talk about our inquiries, we're talking about prequalification as well as tri-merge. So in the second quarter, in particular, we were roughly flat. And this goes to what Chris just said in the previous response that there's -- we believe we're at a bottom here and that there should be upside in the space. The revenue that we saw did outperform, specifically to your question, due to prequalification. We have seen good traction with our customers in that space, especially after the change last year with the early access program. So we've been able to maintain our position, if not even gain on what we have there. But in mortgage, we've -- outside of just the pricing that we all know about and what drives the majority of the 29% revenue increase that we saw, we've also had some success selling other parts of our product portfolio such as batch marketing as well as trusted call solutions, which we obviously covered in- depth on the call here today. So as we look to go forward into the second half of the year, I mean, for all intents and purposes, we're pretty much holding to the guidance that we've been providing thus far. So that will call for the second half for inquiries to be down modestly. And then for the full year also be down modestly as well, too.
Operator: Once again, I will introduce Ashish Sabadra of RBC Capital Markets as our next question asker.
Ashish Sabadra: Just wanted to go back to India. Obviously, we saw some pretty material acceleration in India. From 1Q to 2Q, you've talked about 20% plus growth over the midterm. I was just wondering if you could provide some color about the second half of the year. How should we think about the puts and takes there?
Christopher A. Cartwright: Yes, I just got back from a week in India. It was very exciting, invigorating, in fact. First, it's great to see the business pick up materially as it did, increasing from 1% to 8% organic. I feel like consumer lending momentum is returning in that market as we expected. Now that the posture of the Reserve Bank is pivoted to balancing growth as well as safety and soundness. The team there is still confident that for the full year, we can hit a 10% growth rate. And that means by the fourth quarter, we should be back to high teens organic growth. And then that sets us up to a return to probably low 20% kind of compounding and potentially better. As I mentioned, I was over there because we were celebrating the 25th anniversary of our bureau over there, it's called CIBIL. And I interacted with just a ton of CEOs and a ton of senior regulators and they confirm that because of the actions of the RBI, they expect consumer lending to return full force over the next 4 quarters. And so that's in addition to this improvement in volume that translated into 8% growth for us in the second quarter. And look, the reasons are the RBI has cut rates by 100 bps already, very focused on stimulating economic growth. Inflation is lower in India than it has been in quite a number of years. That's encouraging, too. So that's part of the pro-growth stance. The RBI has also indicated that they're comfortable with the loan-to-deposit ratio in consumer lending currently and with the lending practices of certain key nonbank financial players who were sidelined over much of the past 6 quarters, but have now come back into the market and are beginning to resume lending. And look, delinquencies overall are holding up nicely. They are manageable. They're within historical standards. So we're really setting up for the recovery in consumer lending in India that we expected. It took about 6 quarters for India to slow down to the bottom in Q1. It will probably take about 6 quarters until they are fully back rolling along and we're 2 quarters in. But look, India represents an enormous long-term opportunity. What's exciting about being over there is regulators and lenders, they really appreciate the value of credit reporting agencies and having a foundation of objective and quantitative data to base their lending practices on. They've only had a functioning score in that market for about 20 years. And the CEOs can tell you what it was like lending to consumers previously, which is they were very conservative, they were very cautious. And they recognize that in working with us over this period, they've been able to bring literally hundreds of millions of Indian consumers in the mainstream consumer finance. So financial inclusion has been great that's helped drive their economic growth. And in addition to all the secular tailwinds of great demographics, further financial penetration potential, the continuing digitalization of commerce there and urbanization trends, there's a ton of growth opportunity. And we're maintaining our market share in the low 70s, which is great. We have a data quality advantage. And I think it sets us up for at least 20% compounding over the longer term. It's also a diversified portfolio. With all this growth potential in consumer, consumer is 60% of our revenues today. And there's a lot of opportunity for innovation there in microfinance, agro lending, lending to small and medium businesses. Plus, we're setting up to bring marketing and fraud solutions to India on OneTru. And we just launched the TruIQ analytics platform there and completed our first innovation lab. And there's an enormous appetite for more analytics in the Indian market. We partnered with this customer. We earned several hundred thousand dollars' worth of consulting fees. Now we've got their data business for the long term, and there's great potential. And I guess the last thing I would say is, look, I had the privilege of meeting with the Governor of the Reserve Bank of India, while I was there, my team and I and really, their focus is all about how they can bring more of the Indian population into the mainstream lending economy. While they're pleased that there are now hundreds of millions of folks participating in that, there are still hundreds of millions of people, particularly in rural areas, that want access to capital on more favorable terms and they want to understand how they can leverage all of this alternative data that they've created with their federal registry for wealth, for real estate, for the data that's flowing through their universal payment interface. And we're positioned to help them think through the opportunity and partner on the execution. So India is indeed a very bright growth opportunity for us, and we're fortunate to have it.
Operator: The next question comes from [ Kelsey Zhu ] of Autonomous.
Unidentified Analyst: With the recent announcement from the FHFA in terms of validating the usage of Vantage 4.0 in mortgage underwriting, I was just wondering how you really think about the strategy to gain share for VantageScore, not just in mortgage but also in non-mortgage verticals?
Christopher A. Cartwright: Yes. Fair enough, Kelsey. So look, first, I would just say that we appreciate and we support the clarification around policy that the FHFA has made recently with their pronouncements around the mortgage tri-merge and score competition. We think they are the right decisions for consumers, for the GSEs and for just the safety and soundness of the mortgage economy overall. And basically, they're just founded on the principle that more data, particularly when the data is accurate, curated and predictive, will result in better outcomes across the board. And look, that was our positioning all along on the mortgage tri-merge, right? The bureaus have differences in their data and a mortgage decision is enormously important for the typical American consumer. It's not only a quality of life issue, it's one of the best wealth-building opportunities. And we should bring to bear all of the accurate curated data that's available to make the best possible decision for behalf of that consumer as a borrower, but also on the behalf of all those consumers who are also taxpayers and ultimately bear the risk of the GSE. So maintaining the tri-merge makes a ton of sense. Regarding scores and score competition, clearly, we think it's time to modernize scoring. The current score that has been in effect since 2004 can be improved. And it also relies on point-in-time credit data, right? And for over a decade now, the entirety of the consumer lending industry has been pivoting to trended credit data. Now we led that with the introduction of our CreditVision trended credit data in the U.S. in 2012. But all of the bureaus have trended credit data. All of the clients across all lending categories are using trended credit data. And it's so much more predictive and effective that all the clients pay a material price premium to use it. So for the purpose of evaluating whether a mortgage application qualifies as conforming or not for the GSEs, by all means, let's pivot to credit scores that are based on trended data and let's encourage competition. The competition leads to innovation, it leads to sharpening the pencil on price. And so we're very supportive of the policy decisions. Now look, with any major policy pivot like this, it's going to take some time until all of the operational nuances are ironed out. The regulators are working hard on that now. And look, we're standing at the ready along with Vantage to complete whatever analytics or comparisons that they want between the various score that are out there in the market. And look, we hope that the GSEs will pursue that. We know that they're interested, and we know that we're willing. And we'll just have to see how this plays out because it is a complex industry in a complex situation, but I'm confident that the right policies are in place for the right reasons, and that ultimately, it's going to benefit the overall mortgage economy.
Operator: Our final question this morning comes from Jason Haas of Wells Fargo.
Jason Daniel Haas: I wanted to follow up on some of the figures that you've given around the investment and expected that benefits from the cost savings program. So you've called out $100 million to $120 million of investments this year. Can I confirm that next year, the expectation is that, that goes to 0? And then alongside that, the expected benefit is $120 million to $140 million of OpEx savings. Are you able to give me a sense for how much will be incremental for next year? So from -- yes, so how much versus this year? And then yes, that will be it.
Todd M. Cello: Jason, this is Todd. I'll take that question. So the answer to the first part of your question as it pertains to the investment you're referring to the one-time cost for both the optimization of our org model as well as our technology transformation. We committed to a spend of up to $375 million. We are on track to hit that number and be in -- probably not even exceed it, we'll be right around it. And the expectation is that it's going to stop at the end of 2025 as we committed to. The benefits from that program as we shift into 2026, what we're focused on is the free cash flow benefit. And if you remember, when we announced the transformation program in November of 2023, we committed to a $200 million free cash flow benefit going forward in 2026. And we have really good line of sight to that. As a reminder, on the operating expense savings from the program, we achieved a significant portion of that in 2024, it was about $85 million. The remainder of those cost saves are going to largely come in 2026 because in 2025, we always planned to complete our tech transformation work. And that's what we're in the midst of doing right now. The last component of this is capital expenditures. We are running at about 8% of our revenue, which has been historically where TransUnion has ran at. The commitment for 2026 and beyond is that capital expenditures will drop down to 6% of our revenue. And a lot of that just pertains to moving our computing environment to a cloud where the -- a cloud-based environment where the expense shows up in the P&L as opposed to being capitalized. So the net-net of all of this is the free cash flow conversion. This year, we anticipate to make significant progress in improving the free cash flow conversion to 70% and what's most important with those free cash flow savings that I already talked about, in 2026, we are committing to 90% plus on the free cash flow conversion.
Christopher A. Cartwright: Yes. And so look, the net of it is, the program is on track. We are very confident that we're going to deliver the savings that we articulated and that we're not going to spend more than the investment that we articulated, and it's going to happen within the time frame that we targeted. And so that's great, and that's all the kind of financial savings aspect. But again, this modernization is also leading to a real acceleration in our innovation. And that's why in my comments, I talked about the retooling of FactorTrust and how we're getting great commercial value out of that. The launch of our TruIQ analytics in multiple markets around the world, including data enrichment, innovation in fraud, innovation in our identity graph, this is all being enabled by this OneTru platform that we're creating, and we're going to get tremendous leverage about it. And look, I'd be remiss if we ended the call if we didn't just reinforce that we have put forth improved guidance for 2025, and we firmly believe that it is conservative guidance. We grew 8% and 9% in organically in the first 2 quarters. And if you do the math, which I'm sure all of you smart analysts have, our guide still assumes that we are decelerating in the third quarter and particularly in the fourth quarter. And the reason we're doing that is because we're being prudently conservative. We want to have guidance that, while elevated, would still allow us to support and offset a slowdown in lending that may or may not arise. What I do want to be clear is that this slowdown is not reflected in our current business momentum, right? We're almost done with July. July is a continuation of the strength that we saw in the second quarter. And unless there's a slowdown in lending or a slowdown in the economy generally, we would expect to exceed the high end of the guidance that we've provided today. And that's true not only on revenue, but EBITDA and all of the different financial metrics. So I just want to be clear on that before we end the call.
Gregory R. Bardi: Perfect. That's a good place to end. Thanks for all your questions today, and have a great rest of the day.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now all disconnect your lines.